Paul Cronin: Good morning, all. This is Paul Cronin. I'm CEO and Managing Director of Adriatic Metals. Thank you very much for attending this webcast this morning where we intend to present our interim results and also provide a brief update on the project and how that is progressing against both our project schedule and our budget. We can move on to the next slide. Obviously, our standard disclaimer which I'll allow you about 3 seconds to read and then we'll move on to the next one as well. We've been very clear with our shareholders what our strategy is. Our strategy is very much focused around generating near-term cash flow. To do that, we must bring the Vares Silver Project into production as quickly as we can and ensure that we move through the ramp-up phase and into steady-state production in a fairly rapid time frame. That is very much on track. We are now well advanced in terms of accessing the orebody with both declines under construction. We have completed almost all of the detailed engineering and have now commenced construction at the plant site. We've also commenced construction of the haul road. We have 5 crews continuing to clear that for construction that will occur over the winter. We have everything sort of emerging around it both to commence project commissioning and enter into cash flow at the end of Q2 next year. But also in parallel to that, we've been very clear that we need to extend the mine life of Vares. We have this fantastic concession area of great potential targets, some that we know a lot about, some that we know a very little about. But we've built up the capability within our exploration team to understand the geological sequences that have occurred in this part of Bosnia that is helping us to understand more and more about how these deposits occurred and what they are. And as we continue to gather more data through sampling, through drilling, through structural surveys, we continue to put together a much more complete picture of what's going on there. And I think the success of that is being shown in our drilling results. We will be putting out more drilling results particularly on Rupice NorthWest, but also in some of the resource definition drilling where we are converting our inferred resources into indicated and therefore, will go into probable reserves. And in parallel to that back in London, we've recently expanded our team that are looking at multi-asset diversification.  So we are looking at other exploration assets. We're looking at other evaluation assets or evaluation stage assets and other development assets. We've worked -- we've done a lot of work behind the scenes to develop a lot of capability within this very young team that we have here in Bosnia. And they are demonstrating not only in the work that they're doing on the Vares project that they are incredibly capable. But we also know that we're building the capability that can -- once Vares is in production, then we can start looking at other assets and how we would bring those into development in a rapid time frame utilizing all of the tools that we've developed here. So if we can move on to the next slide, we've got a brief video that we'll just play for you that gives an update. I want to talk through it. I'll just allow those participating in the webcast to view that. But if you could play that for us, that would be great. [Audio/Video Presentation] So for those of you that have been watching those videos since we started releasing them earlier this year, you'll have seen tremendous progress there. And we look forward to hosting people on site in October to put their boots on the ground and just see the extent of the work that's been achieved. But in the interim, I'll hand over to Mike Norris, our Chief Financial Officer, who will walk you through our half year results.
Mike Norris: Good morning, everybody. It's very good to be speaking to you for the first time. Paul will give you a further update of the project, but this is a good opportunity at this stage to touch on a number of the points that arise in the accounts given that this is the first period of construction, and that does bring some changes into the accounts. The cash balance at the end of August, $69 million, down $14 million from the June balance and the total decrease in cash there of $29 million. It does include some quite significant exchange losses on cash held in euros, and that's really a reflection of the strength of the dollar during the first 6 months. We hold a good deal of cash in dollars. So we're very well positioned with a strong currency, and I should say that our currencies are held to match the expenditure for the construction. So we are well hedged there. In terms of operating loss, the loss of $4.9 million was lower than the prior period loss. We did see higher general and administrative costs, really just a reflection of the general increase in activity, as you would expect as we've moved into construction. But those losses were offset by decreased share-based payments and decreased exploration costs in Serbia. In terms of finance expenses, and these obviously will hit the profit and very relevant, therefore, for future profit forecasts. The finance expenses were higher than the previous period due to those exchange losses. Revaluation gain on derivative liability. This is really the movement on the fair value embedded option in the QRC convertible bond. So it's a bit technical, but it does hit the P&L, as I mentioned. And the movements from last year mean that we have a smaller gain than we did in 2021. The other 2 points I do want to mention because you'll see them affecting both the P&L and the balance sheet is that as we've now gone into construction, we are facing the liability foreclosure provisions. So that's just a sensible and responsible reflection of the fact that we have disturbed the land in certain areas as part of that construction, and we are, therefore, obliged under the accounting rules to reflect the closure provision. And the other item is something called IFRS 16, which is lease liability. IFRS 16 requires that any service contracts that include a large element of equipment in that service provision that those are treated as a lease and the equipment cost is separated out accordingly. During June, following the signing of the contract with our mining services contractor, we did have a number of equipment vehicles, items moved into sites and those, therefore, have been reflected as part of the lease liability. So that's something you will see in future reporting periods, both the closure provision and adjusting as we go further into construction. And I do expect that we will have further lease liability adjustments as we contract for future services in a number of areas. If we can move on to the next slide. This pie chart you've seen before, it splits out the elements of our construction that are at various stages of completion. And the -- these numbers will have picked up since this slide was prepared at the end of the month. And I would expect probably at this stage, we're probably now at about 16% -- 15%, 16% invoiced, and that pending confirmation number would have come down to around 30% or just under 30%. So we are moving forward in all of our contracts. We are importantly therefore, moving forward in terms of the certainty of the costs that we're going to be facing. I think that's a key message. I'll hand back to Paul at this stage. Thank you.
Paul Cronin: So as you've seen I'm glad here the project is still on budget. But I'm also very pleased to announce that it's still on time. We've made a lot of progress just in the last 6 weeks alone. And I will say, we often see our suppliers sort of come to us and it's normally on a Friday night and there might be a slight delay in delivery of something because some component that they are trying to procure from somewhere in the world is delayed. And every Monday morning, our team get together and we look at these issues and we solve them. And I'm very proud that our team here in Vares, these young engineers who are so desperate to make this mark in their career and deliver this project, continually find solutions to these problems. Result of that -- as a result of that initiative that they've shown and determination that they have shown, we've been able to keep the project on schedule where many of our competitors have not been able to do that. So at the moment, and as you all have seen in the video, the undergrounds of both are progressing very well, in fact, progressing broadly ahead of schedule. We have now commenced the whole road construction. We have 5 cutting crews on Lot 1 and Lot 2 right now who are basically clearing the trees for that haul road construction. We have all the permits in place for Lot 1 and Lot 2. We've got technical solutions for some ground stability issues on Lot 4 that are being implemented as well. So everything there is going to schedule. So we expect to commence commissioning in late Q1, probably early Q2 and then complete commissioning in late Q2 with first production in late Q2. As we've previously announced, we do have our heads of terms with 4 off-takers for our lead and our silver concentrates. We'll be executing those into definitive agreements in the coming week or 2. We can move on to the next slide. So on our lower decline, we're down as of the 1st of September at 141, but I'm told this morning at 167 meters. On the upper decline, as of the 1st of September, we were through 23 meters, but we're now at 39 meters. So as we commence these declines, we tend to go a little bit cautiously as we're trying to understand the ground conditions that we're working in. But what we are seeing is better ground conditions than we had anticipated. As a result of that, we are ahead of schedule with respect to the construction of the deep lines. And we'll start to relax some of the ground the roof support that we've been putting in there as we continue to move further into those. Obviously, the lower decline will have a total length of around 370 meters and the upper decline will be just over 220 meters. Earthworks is obviously continuing at the Rupice side. You can see from the video, we've started erecting permanent buildings rather than just our temporary buildings. We have commenced the foundation work at the Vares Processing Plant, and we're expecting that the foundations will be laid in the next week, and we'll commence erecting the buildings on the processing plant. We'll start receiving a lot of our heavy equipment over the next month or so, and that will all be installed over the winter inside of those buildings, which have been constructed. We have our haulage contract currently out for tender. The exploration team are doing a fantastic job with our new drillers. They're getting almost double the advance rates that we were getting last year, and we're still pushing them for a little bit more. So our confirmation and definition drilling, we're about 2/3 of the way through that program on our exploration drilling.  We are now about halfway through that program where previously, we had 2 rigs doing confirmation and definition, and we now -- and 1 rig doing exploration, we now have 2 rigs doing exploration, and we're just tidying up the confirmation and definition drilling. All of that will result in an updated resource and an updated reserve. Initially, we were hoping to have that complete by the end of the year, but I think it will drift into early next year. We have had a number of issues with our metallurgical labs that are providing their sales. They have been continually in breach of their service level agreements, and we are now in the process of appointing a new lab to complete that workforce to try and accelerate the time frame from when we deliver samples to those labs to when we receive the results. All of this is being done in the backdrop of a massive increase in staff, which means our health and safety procedures have got to be well refined, and we are doing that very successfully. We're seeing a significant decline in injury frequency rates. Our staff count is growing weekly. And all of the systems that we put in place for staff development and training and management, including the IT solution are now being implemented and are working well. So there's a huge amount of work that goes on, not just at the front end of the project, but also behind the scenes. And I think the team are doing a superb job in delivering this project and delivering it largely on budget and largely on time. If we can move on to the next slide. So here at Rupice, obviously, we've had to do a lot of civil work. We've already commenced what we call our hydro seeding, which is basically the revegetation of some of those veges. And some of the photos that I saw yesterday have shown that, that's been hugely successful. So usually, that's important, but it's also important from a biodiversity offset perspective. So Rupice has done very well, as you can see in that lower photo the haul road, quite a picturesque road, but that haul road construction will continue and what we'll have for the first time is a new road in Vares that is designed to be safe for our vehicles, but also safe for the public to use so that they can basically get from one end of the municipality to the other without having to do a 2-hour drive. And this is a key part of our community development and sustainability programs. If you can move on to the next slide there. We are just looking at the Vares Processing Plant. It may not look like a lot of work is being done there, but I can tell you that every day, there are dozens of vehicles out there clearing and preparing that site. We've got all of the land flattened. The earthworks has been done for the laying of foundations, power cables are being laid and that site will be operational in terms of its plant around March, April next year. There is a lot of work to do there in a short period of time. But as you know, with projects like this, the majority of the lead time is in the engineering and procurement. And I think the team has done a great job in being able to make sure all of that is coming just in time and our construction teams will be there to receive those and make sure they're implemented in line with our commissioning plans. Next slide, please. In terms of corporate structure. Obviously, the share price has suffered a little bit as a result of still more global factors, I think concerns around inflation, which I think we've largely shown have not been a significant issue for us in terms of capital spend. And we're starting to see the share price recover slightly as I think the market and investors get more confident that the project will be delivered on time and on budget.  Our major shareholders remain very supportive and we've got superb analysts who have been covering the stock and who come here frequently to see what it is we're doing and how we're doing. We will be having an analyst site visit -- an analyst and investors site visit around the second week of October. And we're hoping that, that will inspire more analysts to cover this company and this project because I think from -- particularly from a London perspective, it's quite a remarkable one. If we can move on to the next slide. So overall, the story hasn't really changed. It's still a very high value, high-margin project. We have seen decline in silver prices, increase in zinc prices. So overall, we're broadly about the same in terms of what we expect from revenue. We are fully funded into production. We are managing our cash resources as fruity now as we did when we started the company back in 2017, and we continue to have very, very strong support from both government and the community, but also the Board of Business Community in Bosnia, who is really rallying behind delivering this project to show other foreign investment groups that this can be done.  So all in all, we're very happy with the range of things. We think there'll be even more to show at the end of the quarter, where again, we'll do an update on our -- on where we're tracking against our budget and be able to show a lot more progress, I think, in terms of the construction at Rupice and indeed at the Vares Processing Plant as well.  So I'd now like to open the floor to any questions that anyone may have.
A - Paul Cronin: One of the things that we did when we looked at the project execution plan in terms of how we were going to see divide up work. And bear in mind, we're putting this together at time when COVID was still causing a lot of disruptions as we decided to build our own construction team. And so we have a construction team on site who are constantly overseeing the work that's going to be done. And so they are -- they have a very strong execution plan on how they're going to manage that. And I think they will be successful in managing the increased level of activity that you'll see at the Vares Processing Plant site in between October and March next year. The next question was what is the impact you're anticipating from the national elections in October as the campaign started? And if so, what is the atmosphere like in BIH. Yes. So we do have elections in BIH on the 2nd of October, and the campaign has certainly started because every billboard no longer shows a McDonald's burger but rather the face of some Bosnian politician. What do I think the impact will be? Absolutely nothing. I think, yes, again, this election will be decided on national ethnic grounds, and there will really be no substantial changes in the Bosnian political framework, either at the Federation level, which is where it has the most impact or at the state level. Unfortunately, we'd like to see Bosnian politics evolve, but I don't think it's quite ready to get there yet.  The second question is with so many companies struggling in the face of inflation, it's surprising to see Adriatic's CapEx increased by only $2 million. How is this possible? Well, to be honest with you, we do have a reasonable contingency built in there. And we -- at the time that we were putting the DFS together, we were already starting to see the hallmarks of accelerated inflation coming through in the global economy, and we made allowances for that in our numbers. So we've dealt with it very well through quite sophisticated procurement processes between our own procurement team, between Zenco, who are engineering procurement contractor and of course, Paterson and Cooke, the same as Zenco but on the backfill plant. So I think, again, the team have managed that really well. We have seen certain pieces of equipment increasing cost in some areas, but we've also been very clever in being able to reduce costs in other areas. The next question was how easy will it be to transport concentrate for the mine? How developed the infrastructure is around Sarajevo to cope with this? Excellent question. So the Vares town, what was basically borne out of the discovery of a large iron ore deposit in about the 1890s. And that was obviously at the peak of the Austria-Hungarian Empire. During that time, Austria-Hungarians funded the construction of a lot of infrastructure, including a railway line directly to that mine. Now that is only as the growth lies about 2 or 3 kilometers from us. And we will be using that. Now that line has not been actively used since about 1992. However, we have done extensive surveys on that line, and we are working through a couple of issues. We're just laying some more sleepers on certain parts of the track. But it will be operational on time, and it will have the rolling stock available as being confirmed by BH Rail to transport our concentrates from site down to the Port of Ploce in Croatia when we are ready to do that mid next year. So I'm not too concerned. With respect to things like water power, there's a lot of water available to us. In fact, we are just accessing town water from the existing Vares town water supply. The power is a little different. Obviously, Rupice is a new site. We're laying our own transmission cable up there. That work has commenced. At the moment, we're using diesel gen sets, that's proving rather extensive with the price of diesel. So we're trying to lay that cable ahead of the haul road so that we can energize us and power that site without reliance on diesel gen sets, and that's just going to save us a little bit of money. But there is also new substations that are being built at the Vares Processing Plant and at Rupice. So we are having to do quite a lot of work there in terms of setting up our own infrastructure or making improvements to existing infrastructure. But again, that is all factored into the project timeline and into the project budget. Next question was, Boliden have announced force majeure on zinc deliveries because of strike action and higher energy prices have shut down several smelters across Europe. What industrial action -- what in the case does industrial action and the energy crisis have for your future and the ability to generate revenue. Again, we have multiple offtake contracts. One is with Boliden, but we have one with Transamine, Trafigura and Glencore. Obviously, Trafigura, Glencore and Transamine are traders. They are able to take delivery of material anywhere in the world. So whilst we had a reasonable amount of zinc concentrate going to Boliden, we expect that these issues that have caused the force majeure on some of their zinc deliveries to be resolved before next year irrespective, if you are seeing smelters, basically saying they cannot procure concentrate, it means that those smelters are not outputting concentrate, which means zinc prices are going up. So we'll sell it into the spot market. It's not big go.  So I think that covers all of the questions that I've been sent through, unless there's any other questions, I'd like to thank everyone for their time. And feel free to reach out to the company directly if you have any specific questions you'd like to ask us. Thank you very much.